Operator: Good morning, everyone. Welcome to the Shenandoah Telecommunications First Quarter 2022 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Kirk Andrews, Director of Financial Planning and Analysis for Shentel.
Kirk Andrews: Good morning, and thank you for joining us. The purpose of today's call is to review Shentel's results for first quarter of 2022. Our results were announced in a press release distributed last night, and the presentation we'll be reviewing is included on the Investor page at our website, www.shentel.com. Please note that an audio replay of this call will be made available later today. The details are set forth in the press release announcing this call. With us on the call today are Chris French, President and Chief Executive Officer; Ed McKay, Executive Vice President and Chief Operating Officer; and Jim Volk, Senior Vice President of Finance and CFO. After our prepared remarks, we will conduct a question-and-answer session. As always, let me refer you to Slide 2 of the presentation, which contains our safe harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. These may cause our actual results to differ materially from the statements. Therefore, we have provided a detailed discussion of various risk factors in our SEC filings, which you are encouraged to review. You're cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statements. And with that, I'll now turn the call over to Chris. Go ahead, Chris.
Christopher French: Thanks, Kirk. We appreciate everyone joining us this morning, and I hope everyone is staying healthy and safe. I'll start with an update on our broadband network expansion on Slide 4. We had another record quarter for newly constructed Glo Fiber passings of 18,000 and ended the first quarter with almost 94,000 Glo Fiber passings bringing our total passings across all of our broadband networks to over 332,000. Our engineering and construction teams are executing very well, and we're well on our way to reaching our goal of 150,000 Glo passings by year-end. Turning to Slide 5. We added about 3,600 net data additions during the first quarter with Glo Fiber contributing 2,400. The Glo Fiber net additions were 14% higher than the fourth quarter 2021 and 76% higher than the first quarter of last year. We finished the quarter on a high note with almost 1,000 Glo data net adds in March and have seen this momentum continue into April. Our Incumbent Cable business added over 900 data net additions during the first quarter. With our Incumbent Cable data penetration now near 51% and approaching our expected terminal penetration in the mid-30%  range, we expect slower but steady growth in the coming periods from this business. Similar to recent quarters, we had another strong quarter of delighting and retaining our customers with churn of 1.3% across all of our data products, driven by high-quality broadband services, outstanding local customer service and fair pricing. Before turning the call over to Jim, I'd like to comment on the priorities that we have set for ourselves to achieve our long-term financial goals. To accomplish our aggressive fiber first growth strategy, we've increased our focus in a couple of important areas. One priority is further investing in our people. In today's highly competitive labor market, we've increased our salary scale to attract and retain key team members. Although these adjustments have put short-term pressure on our compensation expenses and operating margin continuing to have the best team in maintaining continuity are key drivers towards long-term financial success. On a similar note, we've made long-term decision to upgrade our operations support, customer relationship management and ERP systems. In the first four months of this year, we've converted to a new ERP and lease accounting system, launched a new website for shentel.com that allows online customer ordering for our Incumbent Cable business and deployed a new workforce platform for scheduling customer installations and dispatching technicians. These technology investments, along with another half dozen system conversions that are in progress, have added expense in our first quarter results as we incurred conversion and overlapping maintenance fees for the legacy and replacement software. As we complete our system upgrades and retire the legacy systems in the next 20 months, we expect the conversion and overlapping expenses to phase out, leading to a run rate reduction of approximately $2 million. The upgraded automation will create operating efficiencies, and we expect to realize additional savings in the years following, which will help scale our business and improve our margins in the long term. With that, I'll now turn the call over to Jim to review the details of our financial results.
James Volk: Thank you, Chris, and good morning, everyone. Please refer to Slide 7 to discuss our financial results for the first quarter of 2022. Broadband revenue grew 8.3% to $59.7 million, driven by an increase of 9.3% in Residential and SMB revenue, due primarily from a 14.1% increase in broadband data RGUs. Commercial fiber revenue grew 6.9% to $9.1 million, due primarily to growth in circuits. T-Mobile backhaul revenue was consistent with the fourth quarter 2021. Adjusted EBITDA for the first quarter declined 5.4% to $21.1 million. Our broadband expenses increased at a faster rate than our revenues in the first quarter due to the following major drivers. First, $2 million of the expense increase supported the expansion of our Glo Fiber services, $1.8 million related to higher medical benefits, salary and vendor rates, $700,000related to the upgrade and conversion of our ERP, CRM and OSS systems, as Chris just noted. $600,000 was due to the change in accounting practice for cable replacements that we made in the fourth quarter of 2021. Excluding Glo Fiber and Beam negative adjusted EBITDA and the software upgrade and conversion costs, our broadband adjusted EBITDA margins would have been 41% this quarter versus the 35% reported. We expect broadband adjusted EBITDA margins to improve modestly in the second half of this year and grow over 40% by 2024, as we streamline our beam operations, Glo Fiber churns EBITDA positive and the software development cost strength. On Slide 8, Tower segment revenue grew $100,000 to $4.8 million in the first quarter, due primarily to a 5.6% increase in tenants, partially offset by a 3.6% decline in lease revenue per tenant. T-Mobile tower lease revenue was consistent with prior quarter. Adjusted EBITDA was flat with prior year period as well. Moving to Slide 9. Consolidated revenue grew 7.9% to $64.4 million in the first quarter due to growth in broadband and tower revenues of 8.3% and 3.9%, respectively. Consolidated adjusted EBITDA for the quarter grew 2.4% to $17.4 million, due primarily to an 18% decline in corporate expenses, driven by the previously announced reduction in force and lower professional fees. As announced in February, we expect to achieve $5 million in annual run rate cost savings by the end of 2022, as we implement several non-employee cost reduction initiatives. Approximately $4 million of the annual savings will kick in, in the second quarter of this year with most of the savings benefiting corporate expenses. Moving to Slide 10. Free cash flow and cash on hand declined $30 million in the first quarter. We ended the quarter with a strong liquidity position of $454 million. We expect to begin draws on the delayed draw term loans in the second quarter and expect to draw $75 million to $100 million in 2022, down slightly from prior guidance, as we now expect to receive an income tax refund of $30 million in the second half of 2022. And now, I'll turn the call over to Ed.
Edward McKay: Thanks, Jim, and good morning. I'll begin on Slide 12, where we depict our rapidly expanding broadband network. Despite the winter weather, we had our best quarter ever for new construction, adding over 200 route miles of fiber, bringing our total to over 7,600. We have now launched Glo Fiber services in 13 markets with the addition of Blacksburg, Virginia. Year-to-date, we have added 5 new franchise agreements with a total of 21,000 new target passings, including the new market of Salisbury, Maryland. Engineering and construction work continues to ramp up in both our existing markets and the four additional markets we plan to launch in 2022, and we are well on our way to achieving our goal of over 75,000 new homes and businesses passed this year. Turning to Slide 13. We now have approximately 339,000 approved Glo passings with franchise agreements in place, and we are 75% of the way to our goal of 450,000 passings by 2026. As Chris mentioned, we had a record quarter for construction and now have service available to almost 94,000 homes and businesses. As we previously announced, Shentel has been awarded approximately $54 million in state and local grant funding, which will be used to bring gigabit broadband to over 16,000 un-served homes. Based on our preliminary design work, we anticipate being able to pass more homes with fiber than originally planned. Engineering is currently underway, and we plan to ramp up construction in the second half of 2022 after we execute the government grant contracts with each county. In total, we have a construction backlog of approximately 261,000 fiber passing in addition to the 94,000 Glo Fiber passings already constructed. Turning to Slide 14 for our operating results for our Glo Fiber business. We had another record quarter for customer growth and ended the period with over 18,000 total RGUs and a 14% - 14.7% aggregate broadband data penetration rates across all markets. Our penetration rate is lower than the same period in 2021. However, we have grown our number of passings by over 2.5 times in the past year. Our Glow Fiber customer relationships also increased by about 2.5 times over the past year to end the quarter at almost 14,000. Our broadband data churn remains very low at 0.87% and in line with our results from the first quarter of 2021. In the first quarter of 2022, approximately 48% of our new subs adopted speed tiers of 1 gig or higher, and our data ARPU remained consistent at $74.33. Our streaming TV and voice services continue to perform well with 18% and 14% attachment rates for the quarter, respectively. At the end of Q1, 73% of our Glo Fiber customers were single-play broadband data only, 21% were in a double play and 6% were in a triple play. Slide 15 demonstrates our data penetration as our markets age. Our passings launched in the fourth quarter of 2021 are already at an 8.4% penetration rate, and that jumped to nearly 15% for markets launched nine months ago in the second quarter of 2021. We see steady growth as the markets mature and our initial neighborhoods launched in the fourth quarter of 2019 now have a penetration rate of 33% after 27 months. Let's move on to our Incumbent Cable operating results on Slide 16. Our total RGUs grew 1.7% year-over-year to approximately 188,000 at the end of Q1 2022, and our broadband data RGUs grew approximately 5.6% year-over-year to end the quarter with over $17,000. Our Incumbent Cable broadband data penetration increased from 48.3% in the first quarter of 2021 to 50.7% this quarter. Our customers continue to see value in our Powerhouse rate card, our local ties to our communities and our local customer service. Broadband data average revenue per user increased approximately 3.5% year-over-year to $80.88 in Q1 2022, as customers migrated to higher speed tiers and our average subscribed download speed is now approximately 100 megabits per second. Broadband churn continues to be near record lows, finishing the quarter at 1.32%. On Slide 17, we highlight our beam fixed wireless broadband service. We originally launched this service in Q4 2020, and we now have approximately 1,700 customers, and our penetration rate is just over 6% of our target households. Our average revenue per user remained steady at over $73 and our churn remains very low at 0.79%. As we previously announced, we've ceased further beam fixed wireless expansion. The influx of government broadband grants for un-served areas has fundamentally undermined our beam model and many of the sites we constructed no longer have a path to profitability. We plan to decommission approximately 20 unprofitable sites with very low penetration rates at the end of the second quarter. We expect to recognize an impairment charge of approximately $4 million and a restructuring charge of approximately $1 million in the second quarter, primarily for early termination liabilities for tower leases and backhaul agreements. With these changes, we expect the remaining beam fixed wireless business to be EBITDA breakeven starting in the third quarter. Moving on to Slide 18. We have provided an updated view of our primary product offerings. Shentel incumbent cable networks offer gigabit data speeds in small towns and rural areas using DOCSIS 3.1 technology. Our Glo Fiber service targets higher density urban and suburban areas in Tier 3 and Tier 4 markets, and we continue to make significant progress toward our goal of 450,000 new greenfield passings over the next 5 years. As Chris mentioned earlier, we are on track to double our current Glo Fiber passings to over 150,000 by the end of 2022. For our beam fixed wireless service, we have adjusted our number of target passings to 19,000 to account for the turndown of the unprofitable sites. And finally, we have updated our government grant opportunities and now expect that our 32,000 targeted passings will be constructed primarily as fiber-to-the-home with limited DOCSIS cable extensions for small pockets of homes adjacent to our cable plant. For grants that were awarded in 2021, we have verbally agreed with the counties to replace our proposed fixed wireless passings with either fiber-to-the-home or DOCSIS. We also continue to pursue additional brand opportunities, including in the states of Virginia, Maryland, West Virginia and Pennsylvania. We have updated our projected terminal penetration rate to 65% in these un-served world markets given the very limited broadband offerings from either the LEC or fixed wireless providers. In total, we expect to pass more than 700,000 homes and businesses with broadband services over the next 5 years, with approximately two thirds of these served by fiber. Slide 19 provides a view of our broadband enterprise and wholesale commercial fiber business. During the first quarter, we booked new sales with monthly revenue totaling almost 115,000. Over 25% of this new revenue was driven by E-Rate contracts with two public school systems. This brings our total number of E-Rate customers to 51, including 36 public school systems, 9 private schools and 6 library systems. We also installed new services in the first quarter totaling $112,000 in incremental monthly revenue. This was a significant improvement of 47% over the same period in the previous year, driven primarily by a new dark fiber lease to a major wholesale customer and the first phase of a new contract with a large hospitality customer for Internet and data services. Monthly churn and revenue compression for our commercial fiber business also improved significantly year-over-year with a combined total of 0.4% for the first quarter of 2022. The high compression in the first quarter of 2021 was primarily due to a 5-year contract extension at a reduced rate for a major wireless carrier. Our number of cell site backhaul connections increased slightly year-over-year to 709. Our largest backhaul customer is T-Mobile, and we did see a reduction of seven circuits as they turn down non-traditional cell sites and repeater systems in Q3 2021 shortly after the sale of our wireless assets and operations. As we previously disclosed, we expect T-Mobile to rationalize their network in the former - in our former wireless service area as they decommission the National Sprint CDMA LTE network. We do not yet have visibility into the number of circuits that will be part of this rationalization, but it is important to note that these backhaul circuits are under contract with over 2 years left in the term. Our success in our commercial fiber business is driven by our local sales team, our local operations team and outstanding support from our network operations center. We see significant growth opportunities for our enterprise and wholesale services, as we expand our Glo Fiber into new markets. Turning to Slide 20. Total tower tenants increased 5.6% year-over-year to 468 at the end of Q1, 2022. This includes 33 intercompany tenants, primarily for our beam fixed wireless operations. As we previously disclosed, we believe approximately 80 of our 262 tower leases with T-Mobile will eventually turn as they rationalize their network and turn down legacy Sprint cell sites. We continue to grow our relationship with DISH as they build out their national 5G network with 7 executed leases and 13 more in the pipeline. Finally, Slide 21 provides our 2021 capital spending and our guidance for 2022. Capital expenditures were $45.7 million in the first quarter of 2022 compared to $39.5 million in the first quarter of 2021. The primary driver of the year-over-year increase was the expansion of our Glo Fiber network. For 2022, our guidance for the full year remains at $220 million to $240 million as we continue to invest aggressively in the expansion of our fiber-to-the-home networks. Of the $165 million to $175 million investment in Glo and fiber-to-the-home, approximately $12 million is related to connecting new subscribers and approximately $30 million is for expanding broadband to un-served areas as part of government grant projects. The remainder is focused on completing 75,000 new passings in 2022 and ramping up construction for over 100,000 new passings in 2023, including materials, engineering and preliminary construction work. Thank you very much. And operator, we're now ready for questions.
Operator:  Our first question will come from the line of Frank Louthan from Raymond James. You may begin.
Frank Louthan: Great. Thank you. Walk us through sort of the expectations for ramping the marketing for the broadband as you're doing the growth? And then the second question on the pace of the grant funding, when do you expect to receive those funds? And how is that going to be accounted for as a show up  as revenue or is it - to offset the CapEx? And when should we expect that construction to be finished? Thanks.
Christopher French: So as far as the capital reimbursement from the government grant projects, we expect the cost recovery to lag three to six months behind our construction. And we're targeting roughly 2 years to complete those government grant projects that we have on the table right now. As far as marketing in the new Glo markets, one of the keys for us is a local community involvement. So we think with COVID hopefully tailing off here and things opening back up, we think that provides a big advantage to us. One of the areas we focus on is local community events. So this spring already, we've really started to engage. So we think there's a big opportunity there.
Frank Louthan: So is the seasonality of good weather coming off of Q1 going to help? Should we start to see that benefit pull through?
Christopher French: Yeah. We believe the good weather will not - only help this community events, but our door-to-door sales team is more successful in times with more daylight hours and better weather. So we do expect to see continued growth.
Frank Louthan: Very, good. That's great. Thank you.
James Volk: Frank, on the accounting for the grants, we will account for them as A  to construction. So they will offset CapEx. They will not be considered revenue.
Frank Louthan: All right. Great. That's really helpful. All right. Thank you very much.
Operator: Our next question will come from the line of Dan Day from B. Riley Securities. Your line is open.
Dan Day: Yeah. Morning, guys. So just first one on Glo Fiber. It looks like the ARPU over the last 1.5 years, trending down from sort of high 70s to mid-70s. Just wondering if you can sort of provide your expectations for that moving forward?
Christopher French: Well, I would say the downward trend was more of an accounting issue than actual ARPU really over the past year, ARPU has been steady. It has not declined. So I think going forward, we expect ARPU to be roughly in that same area. We don't expect a large increase there because most - as we said, almost half of our customers are currently taking gig service. There's probably not a lot of upside there for them to take higher speeds at this point.
Dan Day: Got it. Okay. And then on commercial fiber and towers, just any change in the outlook on the T-Mobile churn that we've sort of flagged over the last few months. And it looks like it sort of hasn't showed up in the revenue line on those two segments yet. So just any thoughts on the outlook for this year for those segments?
Christopher French: You're right. We have not seen any impact yet. I think T-Mobile has publicly said June 30 is when they will start to shut down the legacy Sprint CDMA LTE network. But we're still working with T-Mobile. And as we mentioned,  have clarity from a backhaul standpoint, how many circuits are actually going to be impacted as they rationalize the network.
Dan Day: Great, okay. I appreciate you guys taking my questions. I'll turn it over.
Christopher French: All right. Thanks, Dan.
Operator:  Our next question comes from the line of Hamed Khorsand from BWS Financial. Your line is open.
Hamed Khorsand: Good morning. Just I wanted to understand if you're changing any of your marketing strategy with the Glo and what your reception has been like so far as far as the targeting of these customers with the increase in home passings?
Christopher French: So we've seen excellent response at the middle and high end of the market. We are taking a look at our rate card to see if there's what we can do to capture customers at the lower end of that market possibly. But we're very pleased with the higher end services that we're selling with almost half of our customers taking to gigabit speeds.
Hamed Khorsand: And is the response that you're getting in line with what you were expecting? Because like you said, you're increasing your passing, but the penetration rates declined a bit?
Christopher French: I would say, yes, it is in line with our expectations. And the big factor there was we released a significant number of households passed to the sales team at the end of the first quarter. And that's really what's driving down that penetration rate. But we expect that rate to ramp back up going forward.
Hamed Khorsand: Okay. So something like maybe a 1 to 2-year return on those home passings then?
Christopher French: Jim, I'll let you comment on that one?
James Volk: I'm sorry, on that. Could you repeat that, please?
Hamed Khorsand: So as to those home passings that were just released in Q1 to expect something like a 1 to 2-year return to get the customers to pick up service?
James Volk: Yeah. So on that, you referred to the - what we call the vintage slide where we show kind of the homes passed by when they were launched. You can kind of see the curve that develops. But essentially, after about 2 years, we expect to - penetration to be in the 20% range for the homes that were launched then. And that's generally about the time when those markets turn EBITDA positive. So we already have several markets EBITDA positive as we talk today. And we expect the Glo subsegment or product line to be EBITDA positive as a whole by the end of the year. So we're making great progress on monetizing the Glo fiber investments here.
Hamed Khorsand: Okay. Last question is, was the $30 million refund expected? And is your plan just purely to invest in the CapEx projects?
James Volk: Yeah. This was due to really 2021. The refund was coming out of 2021. At the end of the year, when we actually did our final accrual and started preparing the tax return, we realized we had overpaid the estimate that we - estimated payment that we made in the fourth quarter. So that's where it's being driven from.
Hamed Khorsand: No, I understood. I just want to understand if the $30 million is this going to be used for CapEx? Or is it going to be used for share buybacks or dividends or anything?
James Volk: Yes. No, it's going to - we're mainly focusing on reinvesting our cash to deploy Glo Fiber going forward. We have a heavy investment plan in front of us on that. So we'll continue to be reinvested back in the business.
Hamed Khorsand: Okay, great. Thank you.
James Volk: All right. Thanks, Hamed.
Operator: Thank you. I'm not showing any further questions in the queue. I'd like to turn the call over to Jim for any closing remarks.
James Volk: Well, thanks everyone for the continued interest in Shentel, and I hope everyone has a great Friday. Thank you.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great week.